Operator: Good day, ladies and gentlemen, and welcome to today's VMware Third Quarter Fiscal Year 2020 Earnings Call. As a reminder, today’s conference is being recorded. And at this time, I’d like to turn the conference over to Mr. Paul Ziots, Vice President of Investor Relations.
Paul Ziots: Thank you. Good afternoon, everyone, and welcome to VMware third quarter fiscal 2020 earnings conference call. On the call, we have Pat Gelsinger, Chief Executive Officer; and Zane Rowe, Executive Vice President and Chief Financial Officer. Following their prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Slides, which accompany this webcast can be viewed in conjunction with live remarks and downloaded at the conclusion of the webcast from ir.vmware.com. On this call today, we will make forward-looking statements that are subject to risks and uncertainties. These forward-looking statements include statements regarding VMware’s proposed acquisitions of Pivotal. Actual results may differ materially as a result of various risk factors, including risks related to our ability to consummate the Pivotal acquisition as planned, as well as additional risks described in the 10-Ks, 10-Qs and 8-Ks VMware files with the SEC. We assume no obligation to and do not currently intend to update any such forward-looking statements. In addition, during today’s call, we will discuss certain non-GAAP financial measures. These non-GAAP financial measures, which are used as measures of VMware’s performance, should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Our non-GAAP measures exclude the effect on our GAAP results of stock-based compensation, amortization of acquired intangible assets, employer payroll tax and employee stock transactions, acquisition, disposition and other items including the gains or losses on Pivotal Software and discrete items impacting our GAAP tax rate. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP measures in the press release and on our Investor Relations website. The webcast replay of this call will be available for the next 60 days on our company website under the Investor Relations link. Our fourth quarter fiscal 2020 quiet period begins at the close of business, Thursday, January 16, 2020. With that, I’ll turn it over to Pat.
Pat Gelsinger: Thank you, Paul. Q3 was another solid quarter for VMware and we're pleased with our results. We continue to see traction in customer momentum in support of VMware's vision to deliver a software architecture that enables any app on any cloud delivered to any device. In Q3, total revenue increased 12% year-over-year with non-GAAP earnings per share of $1.49 per share. We are thrilled to welcome Carbon Black to the VMware family and we remain on track to close the acquisition of Pivotal by the end of the fiscal year. Customers have resoundingly affirmed that both acquisitions will offer tremendous value as we help them with their digital transformations. We recently hosted over 65,000 customers, partners and influencers at our VMworld 2019 and vFORUM events, demonstrating strong momentum in support of our strategy. Having traveled through all these regions recently, I've been delighted by our team's strong execution and the enormous customer interest and market potential for our solutions globally. The bespoke fragmented security solutions of today have failed our customers, offering us a security industry that is ripe for disruption. With Carbon Black now a part of the VMware family, we're simplifying security by making it intrinsic across the key control points of endpoint, workload, network, identity and analytics, and Carbon Black accelerates our efforts here. With carbon Black, VMware is now poised to take a significant leadership role in security for the new age of multi-cloud modern apps and modern devices. We view security as an essential and common thread throughout our offerings. Carbon Black, together with the security driven value-add from our networking with micro-segmentation, end user computing, cloud, and compute offerings in aggregate represents approximately $1 billion of business for us this year. With this acquisition, we launched a new security business unit including Carbon Black and our AppDefense offerings under the leadership of former Carbon Black CEO, Patrick Morley as General Manager. Since the close of the acquisition, we announced multiple new Carbon Black Cloud solutions and an enhanced partnership with Dell making Carbon Black Cloud, the preferred endpoint security solution for Dell commercial customers. We believe the combination of Carbon Black and VMware will bring a fundamentally new paradigm to the security industry. Another highlight of the quarter was the unveiling of Tanzu, a portfolio of products and services designed to transform the way enterprises build run and manage software on Kubernetes. We also announced and began customer beta for Project Pacific. This breakthrough re-architecture of the VMware vSphere platform will transform vSphere into a Kubernetes' native platform which will enable enterprises to seamlessly add Kubernetes to their existing environments, operate containers and VMs on common infrastructure, accelerate development and operation of modern apps and vSphere while continuing to take advantage of existing investments in applications technology tools and skillsets. By utilizing innovations from both VMware and Pivotal, VMware will be positioned to deliver the most comprehensive enterprise-grade Kubernetes-based portfolio for modern applications, helping customers to succeed at each step of their cloud native journey. We continue to execute against our multi-cloud strategy as we drive and expand our cloud partnerships to offer our customers choice and flexibility. VMware Cloud on AWS is now available in the Stockholm region bringing the total number of available global regions in Europe to five and globally to 17 in just over two years. I was delighted to have firms including IHS Market, Japan Airlines, and Samsung SDS join us on stage across VMworld Europe and our vFORUM events to provide testimonials of the success they're seeing with our cloud strategy and offerings including VMware Cloud and AWS. We also further expanded our partnership with Microsoft to deliver greater impact to customers across client cloud and data initiatives. News included the introduction of VMware Workspace ONE for Microsoft Endpoint Manager to enable modern management for Windows 10 Azure VMware Solutions momentum with new industries and geographies. The addition of new cloud migration capabilities with VMware HCX and the ability to extend Azure to the branch and edge with VMware SD-WAN by VeloCloud. We continue to see some of the world's largest companies commit to the VMware enterprise-grade solutions. We're seeing particular strength in the financial sector, including JPMorgan Chase, one of the largest financial institutions in Europe having increased their investments in VMware technology. Lenovo's investment at VMware during Q3 includes strategic collaborations across multiple countries and regions including China and spans the VMware portfolio including cloud and hyper-converged infrastructure offerings. In the telco and communications service provider space I, was also thrilled to personally announce our expanded multi-cloud partnership with Deutsche Telecom IT service provider, T-Systems and further adoption of our telco offerings including Millicom and NTT DOCOMO. As customers are looking to their 5G buildout, we see increasing interest in VMware solutions as key enablers of this critical transition. Before I hand the call over to Zane, I want to announce that Maurizio Carli, Executive Vice President of Worldwide Sales and Services will be transitioning his role at the end of the fiscal year. Maurizio has made a significant impact on the company since he joined nearly 11 years ago. And on behalf of VMware, I want to thank him for his many contributions in making VMware the great company it is today. Maurizio will continue with the company serving as a strategic adviser. Jean-Pierre Brulard who has also been with the company for 11 years and currently leads VMware's EMEA sales team will assume the global sales leadership role beginning at the start of fiscal year 2021. In closing, Q3 was another solid quarter for VMware. I am very proud of our team for these results and pleased with the meaningful expansion of the VMware portfolio with Carbon Black then later this year with Pivotal. Thank you very much. And let me hand it over to Zane. 
Zane Rowe: Thank you, Pat. We're pleased with our financial performance and execution this quarter, which resulted in total revenue growth of 12% and license revenue growth of 10% year-over-year. Our hybrid cloud subscription and SaaS recurring revenue grew approximately 40% year-over-year and represented over 13% of total revenue in the quarter. We continue to invest in our fast-growing cloud businesses and we expect that Carbon Black along with our Tanzu portfolio including Pivotal will further accelerate our influence and impact in the security and developer communities, as well as meaningfully increase our hybrid cloud subscription and SaaS revenue. Q3 non-GAAP operating income was $759 million resulting in a non-GAAP operating margin of 30.9%. Non-GAAP earnings per share was $1.49 on a total share count of 414 million diluted shares. We ended the quarter with $7.9 billion in unearned revenue and $2 billion in cash. Growth in the revenue plus the sequential change in unearned revenue for the quarter was 18% year-over-year or an increase of 12% excluding unearned revenue assumed in the acquisition of Carbon Black. Growth in license revenue plus the sequential change in unearned license revenue was 21% year-over-year or an increase of 13% excluding unearned revenue assumed in the acquisition. We closed the Carbon Black acquisition on October 8th. The beginning unearned revenue balance from the acquisition was $151 million. Carbon Black contributed over $10 million in total revenue in the quarter post acquisition. At quarter end, we had license backlog of $33 million and total backlog of $71 million. RPO, which includes our committed and non-cancelable future revenue, was $8.5 billion. We had a strong quarter across our product and solutions portfolio in Q3 with six of our top 10 customers purchasing the VMware Cloud Foundation Solutions stack. This platform solution consists of the full software-defined data center stack and is offered on private clouds, public clouds, as well as partner managed clouds. NSX license bookings were up 50%. vSAN license bookings were up over 35% and EUC license bookings once again increased over 20% year-over-year this quarter. Core SDDC continued to perform well with core SDDC license bookings up in the high single digits year-over-year and total core SDDC bookings up in the mid-single digits. Compute license bookings grew in the mid-single digits with total compute bookings up in the low single digits year-over-year. Management license bookings increased in the mid-teens with total management bookings up 11% year-over-year. In Q3, we repurchased $242 million in stock and ended the quarter with a little over $1 billion remaining under our current repurchase authorization which extends through the end of FY 2021. Turning to guidance. For the full year we are projecting an increase in total revenue to $10.1 billion, up 12.5% year-over-year. This includes the addition of Carbon Black's financial's post close which accounts for the largest portion of the revenue increase. We expect license revenue of $4.245 billion for FY 2020, up 12% year-over-year. We expect non-GAAP operating margin to be 33% and expect non-GAAP earnings per share of $6.58 on a diluted share count of 416 million shares for the fiscal year. Cash flow from operations has been updated to include the impact of acquisition and integration costs of approximately $100 million related to our most recent acquisition announcements. As a result cash flow from operations is expected to be $3.850 billion. We expect free cash flow of $3.570 billion for fiscal 2020. Moving to our Q4 guidance, license revenue is expected to be $1.390 billion, an increase of 13% year-over-year and total revenue is expected to be $2.950 billion up 13.8% year-over-year. We expect non-GAAP operating margin of 37.6% and non-GAAP EPS of $2.16 per share on a diluted share count of 414 million shares. We expect the proposed acquisition of Pivotal to close before fiscal year-end and we will update you on its impact on the quarter and the upcoming fiscal year on our next call. As I mentioned on our last call, due to common control accounting rules upon the close of the acquisition we will recast VMware's historical financials to include Pivotal. Detailed guidance for Q4 and the full year is contained in the slide deck on our website accompanying this call. Now as we look to our next fiscal year, we're expecting the strength we're currently seeing in the business to continue. Preliminarily, we're planning for a fiscal 2021 total revenue growth rate in the low double digits, not including the impact from the proposed Pivotal acquisition. We also expect hybrid cloud subscription and SaaS to drive much of the future growth of the business and show a significant increase in its percentage mix of total revenue. In FY 2021, we will continue to invest incrementally in our fast-growing hybrid cloud subscription and SaaS portfolio. While these incremental investments will drive operating income expansion, we expect they will impact next year's operating margin by up to 2 percentage points including Carbon Black. In closing, we are pleased with our Q3 financial performance and the ongoing strength of the business. Our customers are depending on us to assist them navigating their digital transformation and multi-cloud journeys using our broad product and solutions portfolio and we're seeing this in our financial results. The investments we are making in and the strength of our growing hybrid cloud subscription and SaaS businesses will drive sustained performance and growth for us. I'll turn it back to Paul before we begin with the Q& A. 
Paul Ziots: Thanks Zane. Before we begin the Q&A, I'll ask you to limit yourselves to one question consisting of one part, so we can get to as many people as possible. Operator let's get started.
Operator: [Operator Instructions] And first from Wells Fargo, we have Phil Winslow.
Phil Winslow: Great. Thanks, guys for taking my question and congrats on another strong quarter. Just a question for the team. I mean, we've seen numbers from Gartner and IDC that have been relatively weak on the server shipment side and then we've seen mixed results from hardware, networking and storage vendors. But if I look at your compute bookings still strong growth NSX, vSAN simulated high-growth rates. Really the question is, what's sort of driving that gap, that delta between call it the high level of your trends and obviously the strong growth that VMware is seeing? Thanks.
Pat Gelsinger: Hey, thanks, Phil and we are pleased with the quarter and the continued good performance. As we look at your comment on the gap, we've just -- and as we said in the past, we've just historically not seen a strong correlation between our business and the hardware spend cycles which just tend to be a lot more cyclical in nature. Also the SDDC growth is driven largely by workload growth and SDDC just has a very compelling customer ROI that even in pretty much any economic environment they see very substantial TCL. And also we'd say, the breadth and depth of our portfolio, as we increasingly see the hybrid cloud and SaaS component of it, now 13% of revenue and growing at approximately 40%. Increasingly, we're seeing that growth beyond the private cloud or the data center and into the hybrid and public cloud offerings as well.
Zane Rowe: Hey, Phil. This is Zane. I'll just add. As you point out, we saw really good booking strengths in the quarter. And we have a solid guide for the rest of the year. I talked about RPO, which for the third quarter was $8.5 billion, which has also grown nicely year-over-year reflecting the ongoing strength of the business. So yes, we feel good about the guide. We feel good about our pipeline heading into Q4.
Paul Ziots: Thanks, Phil. Next question, please?
Operator: Next we have Matt Hedberg with RBC Capital Markets.
Matt Hedberg: Hey, guys. Thanks for taking my question. Congrats again on the quarter. I have a product question for Pat on Tanzu. Can you talk a bit more about you know, it’s at a high level, what this means for developers really in a HyperCloud architecture built on Kubernetes and maybe a little bit more on the timing of Project Pacific?
Pat Gelsinger: Yes. Thanks, Matt and anxious to talk, anytime I get about Tanzu. We're really excited about the capabilities and we really see this coming together. And as we would say that this bridge between the developer and the operations world and Kubernetes is playing this critical bridge between those. And as I've said, maybe since Java, we've not seen a technology or the VM itself as important as Kubernetes. We've been working on Project Pacific now for several years and we really see this ability to combine containers and VMs in a consistent operating environment gives customers the best of the world security, scalability, compliance, agility and speed from containers for a new workload development. In the Tanzu portfolio brings together this comprehensive developer centric Kubernetes portfolio building from Heptio and we're excited to bring the pivotal assets the PaaS and the PKS offerings. But also then to be this next layer of how infrastructure is operationalized and automated and we expect that customers are going to pick Kubernetes, our offering of making this intrinsically available into the core VSphere offering, really will be this unique bridge between those two worlds. Also the Tanzu portfolio is focused on multi-cloud offerings with Tanzu Mission Control and building on Heptio, which will allow us to embrace public and private as no one else can. So, overall, we've seen extremely positive response from the market on Tanzu. We've seen both, the Mission Control as well as Pacific, are now in beta with customers, which has been oversubscribed. So we've seen a lot of customer interest in this and we're quite looking forward to the next major version of vSphere including these capabilities.
Paul Ziots: Thank you, Matt. Next question, please.
Operator: And next question will be from Kash Rangan with Bank of America.
Kash Rangan: Hey, guys. Congratulations on yet another very nice quarter. Pat, we do a survey every six months, we speak to people. And this time surprisingly one of the top three priorities was server virtualization. I'm curious to get your take, especially as you look at the gap between server shipments and your own performance. Are we likely to see the beginning of a halo effect, given all the strategic initiatives that we were pursuing on the technology side that makes you look more like the new world and less so of the old world? Not to put words in your mouth, but just curious how VMware also broadly fits into this world of DevOps where you have a lot of cloud monitoring companies, cloud management companies. What are VMware's plans to attack that market? Because you have a significant installed base and you could do some really big strategic bets here. Thank you so much.
Pat Gelsinger: Yes. Thank you, Kash. And we really see our self in this hybrid cloud, a multi-cloud world as quite uniquely positioned. And in the hybrid cloud world, what we're seeing customers do is they want to migrate to the cloud. And in some cases you'll hear them talk about cloud-first or their cloud migration strategies. But to do that they run into this brick wall that, how do they replatform their applications. And for that the VMware hybrid cloud is just like the easy button. It allows them to migrate, save money in the process, really create this highly efficient hybrid cloud environment and those are many of the success stories of our VMware Cloud on AWS offering. But then, as they've done that now, we also say we enable you to modernize. We give you the ability to refactor those applications, rebuild them, invest in them, as your business justifies and as your business needs, right, for you to satisfy your digital transformation objectives. And for that the Tanzu capabilities, I was just describing, really are the easy button for them to do that as well and doing that in a very cloud native manner, embracing the latest developer technology. So we see it as this ability to migrate and modernize, do it with hybrid cloud and multi-cloud. VMware is just positioned to be able to do those things as no other vendor is, and we're really seeing a very positive response from customers as they start to understand the benefits of that and going faster into their future as well as to do so efficiently.
Paul Ziots: Thank you, Kash. Next question, please.
Operator: Next is from Walter Pritchard with Citi.
Walter Pritchard: Hi. Thanks. Maybe a question for Sanjay Poonen if he's on the call. I'm wondering, Zane, you're talking of the SaaS and hybrid, especially next year. Maybe an update on the VMC bookings performance, sort of how that's coming in, maybe any order of magnitude size and as it relates to the comment about most of the growth being driven by that stream, how does VMC play into that as you look into next year, because you've got other revenue streams like Pivotal and, I guess, Carbon Black that are in there as well.
Pat Gelsinger: Yes. I'll start on that one. Walter, always good to hear from you. And generally, we've continued to see momentum in our VMC on AWS offering. As I said, we announced the next region this quarter with the Stockholm region we're now at 17 and really have a good global footprint as we saw at VMworld and vFORUM and the expanded customer references like Pfizer, IHS market, Japan Airlines, Samsung, these are just world-class names that are viewing this as a critical part of their strategy. On the expanded ecosystem, we rolled out cloud competency partners ISVs. We're seeing our VCPP partners now begin reselling and making this part of their offerings as well. And really as I was just commenting on the last question, this ability to migrate to the cloud in a highly efficient way is really being seen as a powerful tool for our customers as they look to their hybrid and multi-cloud future. Zane?
Zane Rowe: Yes, Walter, I'll just add as you point out the 40% increase we saw this quarter, we expect that strength to continue well into next year. The outlook that we gave does anticipate a material increase in the hybrid cloud subscription and SaaS category of which VMC is an important part. And as we said all along, VMC not only helps within that category, but also quite frankly helps with all of our products including VCF and many others that are on-prem as well. So, there's definitely a halo effect when we think about the VMC opportunity and it's one of the many growth areas we have between VMC VeloCloud health as we look to see our increase in hybrid cloud and subscription and SaaS grow nicely into next year.
Walter Pritchard: Thank you.
Paul Ziots: Thank you, Walter. Next question please?
Operator: Next we have Mark Murphy with JPMorgan.
Mark Murphy: Yes, thank you. I'll add my Congrats. Pat, I was wondering if you can offer any thoughts on the U.S. Department of Defense's $10 billion JEDI contract which is being awarded to Microsoft as of now rather than Amazon? And are you optimistic that VMware could play a role in that contract or in other government projects since you're the critical hybrid partner for all three of the major public cloud platforms?
Pat Gelsinger: Yes. Thank you, Mark. And we'll just say overall that we're following the JEDI event closely as I'm sure many of you are as well. And we're looking forward to getting to the eventual outcome of the appeals process. We'd also point out that the JEDI contract vehicle itself is one of many, right? And this represents just a piece of a much, much broader set of cloud opportunities in the government. Overall, we're well-positioned with our current partnerships and we do expect that through those partnerships that we'll have a thriving government business, both on-premise as we have had as well as in hybrid and cloud offerings. As you note, given our very high market share in the government, our hybrid cloud is uniquely valuable to government customers. And as we've discussed in the past, we've seen extremely high interest from CIOs in the government as they see huge value for this really -- this ability to migrate to the cloud as I was commenting earlier in the Q&A session. So, we really see that we have great opportunity in the government and with our hybrid cloud offerings in the government space in the future.
Mark Murphy: Thank you.
Paul Ziots: Thank you, Mark. Next question please.
Operator: Next we have Karl Keirstead with Deutsche Bank.
Karl Keirstead: Thank you. My question is for Zane. Just to clarify the impact that the inclusion of Carbon Black is having in your guidance. So, for the fourth quarter where you guided to license of $1.39 billion and total revs of $2.95 billion, is the change from the implied prior guidance entirely Carbon Black's? In other words is for Q4 on the rep side is that a guidance reaffirm? And then for fiscal 2021, where you guided to low double-digit growth. Safe to assume Carbon Black is kind of 1% to 2%, is that the right way to back into organic? And then lastly, operating margins a 2% hit. Is that entirely due to Carbon Black? Or is your organic operating margins going to be down? Thank you.
Pat Gelsinger: Hey, Karl. So I'll take that one question multi-part question. So, starting with the fourth quarter. It's a reaffirm and a small increase based on the strength we're seeing in the rest of the business as well. So I'd say the increase in total revenue for the fourth quarter, which obviously amounts to 10.1 for the full year, is primarily driven by the addition of Carbon Black although there's a little bit more that we've got in there as well. So Carbon Black is a big contributor to the increase. But again if you recall the guide also highlighted some of the growth that we're anticipating for the second half of the year based on what we said last quarter. So we feel really good about the pipeline heading into the fourth quarter and the solid guide for the year. As we move to FY 2021, again this is our preliminary view of FY 2021. I'll be offering a lot more guidance on our next call. The combination we've talked about being approximately two points a combination of both Carbon Black and Pivotal with the recast and the restatement of Pivotal, the large part of that -- those two points is actually attributed to Carbon Black on a year-over-year basis. So you're correct in calling out the Car Black portion being a big contributor on a year-over-year basis to the organic growth if you think about the growth of the business excluding Carbon Black. And then on the operating margin, when -- we've given you some guide for the combination of both acquisitions. I'd split the two points in two, one being the incremental investments that we continue to make in our high-growth areas with the, quote – unquote, organic hybrid cloud subscription and SaaS businesses, businesses like VeloCloud, cloud health and our VMC businesses that are contributing to the vast part of the 40% growth that we saw even this quarter. And then other portion is attributable to rolling Carbon Black into the financials as you look at a year-over-year basis. So hopefully that gives you at least at a high level a general sense for how we're thinking about the strength that we're seeing this year moving into next.
Paul Ziots: Thank you Karl. Next question please?
Karl Keirstead: Sure. Thank you.
Operator: Next we have Raimo Lenschow with Barclays.
Raimo Lenschow: Thanks for taking my question. Can I just ask around the security? Now that Carbon Black has closed and Pat you had some time to talk with customers like how comprehensive of a solution are your customers expecting from you? Just endpoint or like you have a virtual firewall, et cetera like, so what was the reception from the customer base in terms of how broad they want to see you in that space?
Pat Gelsinger: Yeah. The enthusiasm for Carbon Black is high and the strategy of intrinsic security has resonated very well. And just to reinforce that a bit this idea that we're going to build security into the infrastructure, we're going to build it into vSphere, we're going to build it into NSX as we've been doing with microsegmentation, but further enhance it with Carbon Black, build it directly into Workspace ONE and really bring security and management together and somewhat on the client space some -- when we laid out our AirWatch strategy a number of years ago, we said we were going to bring Workspace ONE. We're going to bring mobile and desktop together. Well we're going to redefine the category again. We're going to bring management and security together into a client offering and we're going to tie that together with an end-to-end set of cloud analytics. And that’s comprehensive strategy as we've laid that out. People have resonated to very well. Now obviously we're just getting started on this journey. We're just bringing the first offerings into the marketplace. The strategy people immediately say when I stand up and describe how the security industry is broken, everybody's nods their heads absolutely, help me, right in this regard. So we'll really see that the response to the strategy is good. The early response from customers is very positive. And you've even seen capabilities like Dell saying, this is a key part of our preferred unified workspace offering. So we're starting to see the partners respond to that strategy as well. But it's early days. We've got a lot of work to do, but I couldn't be more pleased. And obviously with Patrick Morley and the Carbon Black team, the formation of our new security business unit, we think we are well off the starting blocks in an exciting race to not just deliver exciting new capabilities to VMware, but redefine a broken industry. 
Paul Ziots: Thank you, Raimo. Next question please?
Operator: Next we have Brent Thill with Jefferies.
Brent Thill: Good afternoon. Zane had alluded to the 50% growth in NSX. And I was wondering Pat if you could just talk to what you're seeing in deal sizes and kind of attached with the rest of the portfolio?
Pat Gelsinger: Yes. Overall we were super happy with NSX. And obviously the growth is being accelerated by VeloCloud and the inclusion of Avi into the platform, 8 of our top 10 deals included NSX and VeloCloud. This vision of the networking and security further reinforces the last point of security becoming intrinsic. We also had a great product announcement quarter for new capabilities NSX Intelligence, the launch of IDS and IPS, the integration of Avi and load balancing into the platform. And as I described at VMworld, greater than 50% reduction in CapEx and OpEx that customers are really now buying into the strategy that in networking, it's time to replace hardware with software. And that is resonating in the marketplace. And I think the great results this quarter are clearly demonstrable of that residence. 
Paul Ziots: Thank you, Brent. Next question please? 
Operator: Next we have Keith Weiss with Morgan Stanley.
Keith Weiss: Thank you guys. A follow-on to an earlier question on operating margins. How should we think about kind of the longer-term trajectory on operating margins, particularly in light of the hybrid SaaS business is growing really well and becoming a better part of -- a bigger and bigger part of the overall revenue mix? Is there a kind of bottoming out at some point in the future we should think about in terms of when sort of those impacts kind of normalize?
Zane Rowe: Yes. Keith this is Zane. We're -- as you would expect, we balance both the top line and the bottom line in both the perpetual business, as well as the hybrid cloud and SaaS businesses and we think there's tremendous value to be had in both. Obviously, initially the hybrid cloud and SaaS businesses grow from the lower base, but we see no reason why they couldn't be growing and ultimately get to the margins that you've seen at the company, historically out of the perpetual businesses. And we've got examples of that within the company where they're growing up to those levels with our portfolio of more mature hybrid cloud and SaaS businesses. So as we grow, we see tremendous value in that. We see value in growing the operating income line as well as reaching higher operating margin lines as we take on the higher growth with that category. Obviously, as you would expect, we've taken -- we'll take a couple of points off the top, as we include the acquisitions as well as we continue to grow and invest in some of the high-growth areas that we're seeing in the company already. You've got 40% growth in the category. So we take a long-term view of that growth and the investments in the strategy behind all that. So we feel like those margins individually will continue to grow and obviously have an impact on the broader operating profile and growth profile of the business. But we feel very good about the return on investment we're getting in that -- in those areas.
Paul Ziots: Thank you, Keith. Next question, please?
Operator: Next from Goldman Sachs, we have Heather Bellini.
Heather Bellini: Great. Thank you very much. Happy Thanksgiving to you all. Just wanted to ask a question, Pat. You've always done a great read on the IT spending environment and have called it out when it's been getting better, when it's been getting worse. You obviously have a really good track record just given the breadth of the product portfolio. I was just wondering if you could share with us, what are you seeing as we close out this calendar year? And kind of what's your -- what are you thinking in terms of next year’s IT spending growth rate versus what we're going to end up seeing in calendar 2019? Thank you.
Pat Gelsinger: Yes. Thanks, Heather. And my view really hasn't changed from what we discussed last quarter. We continue to see great interest to digital transformation by customers. And there's areas of concern, areas of positiveness. And I'd say, we continue to take a pretty centrus view of those as we look out into the future. And I think our Q3 performance globally was a great representation of that between VMworld Europe, Asia and U.S. I've been in all three geos. Since we spoke last but getting too many air miles in as a result. And I'll just say, digital transformation is alive and well. Customers believe it's the key to their future. And the VMware offerings continue to have great resonance to them on a global basis. So we feel very solid about that outlook.
Paul Ziots: Thank you, Heather. Next question, please?
Operator: Next we have Kirk Materne with Evercore ISI.
Kirk Materne: Yes, thanks very much. Pat I was wondering if you could just talk about your partnership with GCP a little bit. I realized it's early days on that front. But just any sort of incremental takeaways since the last time we heard from you. And just maybe some thoughts on whether or not the acquisition with Cloud Simple by Google maybe helps accelerate that partnership now that there's obviously a lot more resources behind that that particular firm. Thanks.
Pat Gelsinger: Yes. Thank you for that. And overall, I'd say, we feel good about our overall portfolio of cloud partnerships. Obviously, Google, that offering is soon to come to the marketplace. There's solid interest in the offering. We have a good pipeline of customers. We do see the cloud simple acquisition as a good move for them to accelerate their capabilities. And there's no change in VMware's support of cloud simple as a VMware cloud verified partner in the marketplace. And clearly we've seen global interest as Google is driving a more aggressive build-out of their capabilities for their enterprise customers of Google Cloud. And as part of that the VMware offering really does have great resonance by mutual customers. So we're looking forward to this in the marketplace, while simple is good. But we always put it in the context of having the most complete set of partners on the planet, Amazon, Azure, Google, Oracle, IBM partnership, the 4,300 VMware Cloud partners worldwide. Now we're almost 100 cloud verified partners and seeing global strength in that community. And clearly, VMware's multi-cloud and hybrid cloud strategy is unrivaled in the industry.
Kirk Materne: Thank you.
Paul Ziots: Thank you Kirk. Next question, please? 
Operator: Next we have Brad Zelnick with Credit Suisse.
Brad Zelnick: Great. Thank you so much for taking the question. Zane, just to put a finer point to a prior question on margins, in the proxy filed around the Pivotal acquisition, you laid out two scenarios showing revenue and operating margins for differing mixes of hybrid cloud and SaaS. And I appreciate Pivotal and Carbon Black are not included in this. But being that those acquisitions should be accretive in year two, is it fair to say that the trough in margins should be somewhere around 31% as the business model transitions, as it was laid out in that proxy? Thanks.
Pat Gelsinger: Hey, Brad. I guess, some color, I mean, what you read in the proxy are obviously typically forecast done with a number of embedded assumptions for a variety of purposes. So I wouldn't read into what's in there versus what we offer for guidance. And as you know, what we typically do is give you the current year. And then in the third quarter, I'd like to give you at least a sense for where things are heading. Everything is very dynamic and where we stand today, we believe, there's tremendous opportunity in those hybrid cloud subscription and SaaS businesses. So I think it would be premature for me to say, sort of, at what point we bottom out. Given the fact that we're always looking at that trade-off between top line growth and operating margin and where we have conviction around long-term value for shareholders. So as we manage those dynamics, we're at a point right now where in addition to Carbon Black and the Pivotal acquisition, we still see tremendous opportunity and benefit in continuing to invest in the businesses that are fast growing. It just so happens, those happen to be our hybrid cloud and SaaS businesses, which is why I alluded to the fact that we're going to continue to invest into those next year. The Carbon Black element is essentially taking the P&L of carbon black and layering it in while we integrate it into the company. So that's the dynamic you see, as we've called out up to 2 points of operating margin impact on that part of the business. I wouldn't want to go into it much further than that candidly, just because when you've got a business that's growing 40%, you essentially want to continue to feed that. And I did point out that Pivotal will be -- we will be recasting our financials with Pivotal. So you would expect to see our history change as it relates to the pivotal acquisition and that will impact the year-over-year impact of both revenue, as well as our operating margin impact related to that Pivotal acquisition. So, hopefully, that gives you a little bit more color into how we're thinking about the opportunity in the acquisitions. Again, I would separate that from what you've observed in the proxy filing.
Brad Zelnick: Very fair. Thank you so much.
Paul Ziots: Thank you Brad. Next question, please?
Pat Gelsinger: Sure.
Operator: Next we have Michael Turits with Raymond James.
Michael Turits: Hey. Thank you very much. Pat, let's come back to VMC, again. Can you just update us on what the use cases are, if they're the same as they've been or if they're expanding? And are you doing anything, changing anything in go-to-market around VMC, whether it's leadership, whether it's channel in order to expand those use cases?
Pat Gelsinger: Yes. In terms of use cases, I'll say, they're continuing to build out the use cases that we've described them before, right, data center extension, right? I want more capacity, data center evacuation I'm getting out of a data center making a choice to a new data center location DR as a use case and the one that I think I commented on last quarter was VDI, right, where customers are saying this is the best way for me to run VDI. Now, we do expect that as -- particularly with our Tanzu announcement and the increasing focus that we have on new developer opportunities that we're also going to begin to start layering into that new application development as well where people will actually start saying my new hybrid cloud or my new Kubernetes build environment will land into a VMware Cloud foundation or VMware cloud offering and our unique ability to have those being hybrid will be very effective. So, those are sort of the use cases. We're seeing customers resonate to those. And now as the offering is maturing in the marketplace, we're just seeing people get more comfortable saying, this is a good data center strategy for me to start layering in. Maybe I'm going from three to two data centers and this becomes my third and I'm going to have two availability zones. So, it becomes my third or my fourth. So, I become more resilient in the process. Since I'm introducing this data center which essentially has elastic capacity, I can run my private clouds more aggressively in terms of their use case. And as a result, I'm going to make the total more efficient than they ever were before in driving the private cloud data center from maybe 30% or 40% utilization to 70% or 80% utilization and drive an aggregate reduction in the cost of my footprint. And in many cases we've seen customers who have as I joke, right, DR is like the fifth priority on the top three things CIOs get done, right. So, just always this thing that you're trying to catch-up. Well, now if you have an operational hybrid cloud environment -- active environment that is far more DR capable than ever before. So, those would be some of the meat and potatoes use cases that we're seeing for VMC. But I'll say we've seen everything and some of the customers today are already viewing this as their target development environment because now they see this multi-cloud strategy that I've laid out. They've also seen the ability to access some of the VMware cloud services that enable Amazon services as well with VMC and they're excited about some of the new offerings like Dimension where we're now starting to say we're going to manage from the cloud into your on-premise as well. Overall, a key piece of our comprehensive hybrid cloud multi-cloud strategy.
Paul Ziots: Thank you, Michael. Next question please?
Operator: Next we have Keith Bachman with Bank of Montreal.
Keith Bachman: Hi, thank you very much for taking the question. For both Zane and Pat, I wanted to ask you about EUC had license bookings increase over 20%. Could you revisit how with the addition of Carbon Black, the standalone EUC category may get some boost? And -- or how should we be thinking about that as we look over the course of FY 2021? Thank you.
Pat Gelsinger: Yes. Well, overall, we're super pleased with our EUC performance. We've continued to see this idea of the digital workplace platform really resonating with digital transformation which includes employee experience. We've continue to see great response from Forrester and Gartner with our strategy. And as I said earlier in the call, like we redefined the EUC category from mobility and desktop-into-one, Carbon Black is now going to become management and security and it's redefining that category again. And that idea really resonates with customers because sometimes they're finding they have 10, 15, even 20 agents running on their clients. It's just outdated bloatware. And we're going to walk into that and help clean up a lot of that historical mess that they're having. So overall this strategy for us is resonating. And while people don't replace their workspace solution quickly as you see we're just quarter-by-quarter racking up good consistent double-digit 20% growth rates that shows we're gaining share. Customers are resonating with the strategy and we believe that Carbon Black coming into that is going to be a meaningful accelerant. The other aspect of Carbon Black their focus really has been more on PC replacement of antivirus. And we've just launched our Workspace ONE offerings recently for the Microsoft, Windows 10 environment. So this really is a key element to accelerate that aspect of the strategy. You also saw that we announced an expanded partnership with Microsoft in terms of window endpoint management being now well integrated with Workspace ONE. So the cohesion of all of those pieces coming together, we think gives us a very nice overall offering in the marketplace.
Zane Rowe: Keith, I would just add on our next call we'll get into more detail on how you could think about the combination and obviously the synergies between EUC and Carbon Black. But as Pat points out there are many of those, so I'd say at the highest level it's included in my general guide for FY 2021 as well as where we've called out the two points of growth attributable to Carbon Black as we continue to integrate it with the rest of the company over the upcoming year.
Keith Bachman: Okay. Thanks, gentlemen.
Paul Ziots: Thank you Keith. Next question please? 
Operator: Next is Jason Ader with William Blair.
Jason Ader: Hi, guys. If I could just play devil's advocate on Project Pacific, why would I want to integrate VMs and containers in the same management platform? Wouldn't that add a layer of complexity for running my containerized apps?
Pat Gelsinger: Oh, oh, so much not the case. And imagine that you're wanting to do some new application development in containers, but you might have a decade or two of existing applications right? And you have to make those two worlds work together right? Are you going to stand up a unique management environment just for those container workloads, right? And right this idea that I can bring these together seamlessly with a new modern Kubernetes management environment and manage my virtual machines through that and now maybe I have a big stateful application? Why would I ever put that in a containerized environment right and get no incremental value from it? I probably made it versus in the process of doing that right? And now I get this ability to seamlessly intermix those two worlds. This is a powerful accelerant. Also every CIO on the planet realizes the challenge that he has bridging between the infrastructure and operations world and the developer and DevOps world. This is like the magic bridge between those two worlds. And we're thrilled to see us ability to bring those two together in a highly efficient way. And literally the millions of people that operate VMware environments today are becoming Kubernetes enabled tomorrow and that is a powerful force that's going to say we can now go to our dev and DevOps teams with a modern most industry compliant upstream Kubernetes compatible environment and now present to them a Kubernetes environment or as I've called it a dial tone just land your Kubernetes workloads here we got you. This is a powerful bridge between those two worlds. And as we've demonstrated in project Pacific, not only is it not a detriment. In fact we run containers faster than bare metals or Linux-only environment because of the huge efficiencies that we've built into the VMware environment over time. So now I get security, I get management. I get operational consistency. I get the most modern development environment DevOps world's bridging between these two worlds, this is powerful. And that's why we saw extraordinary enthusiasm as we roll this out to the marketplace at VMworld and vForum’s.
Paul Ziots: Thank you Jason. I think that may have been Pat's favorite question today. Let's appreciate it. We have one more person in queue. So this will be the last question please. 
Operator: All right. And that will be Gregg Moskowitz with Mizuho.
Gregg Moskowitz: All right. Thank you and good afternoon guys. Perhaps would be Zane's favorite question of the day. So Zane you previously referenced a bit of a headwind on revenue growth from the mix shift to SaaS. And I was just wondering if you had an estimate for that as it relates to either Q3 or FY 2020 as a whole? 
Zane Rowe: Yes, it's a great question. I'm not sure, it's as good as Pat's. But as we called out, as we called out in the third quarter, it was more pronounced on the license revenue side. And what we've generally done is steered you more towards total revenue. And with the strength we've seen in the third quarter, candidly in both categories. I mean as you know hybrid cloud subscription and SaaS while we get the bookings now, we recognize the revenue over an extended period of time. And that's sort of the nuance when you're thinking about the balance between license revenue versus hybrid cloud subscription sets that's sort of the balance that we were contemplating in the third quarter. And we mentioned with that strength, we saw the guide continue through the year. So there's always a little bit of headwind, especially as you're growing that just because you essentially recognize the revenue slightly differently. We wouldn't call it out specifically as far as a percent because I think all of our -- when we think about those businesses they're all in different points on the maturity curve. But in aggregate, you're right there's always that balance when you're considering a perpetual model versus the SaaS model, but we're comfortable with that balance. We've maintained the annual guide. We feel good about the trajectory heading into next year. 
Gregg Moskowitz: Okay. Thank you.
Paul Ziots: And before we conclude -- thank you, Gregg. Before we conclude, I think Pat you may have a final comment.
Pat Gelsinger: Yes. I'll just say I'm very proud of our team for delivering another very solid quarter for VMware. It's great to have Carbon Black now as part of VMware. And we're -- as a result accelerating our efforts to simplify security for our customers. We're excited about the anticipated closing of Pivotal in Q4 which really helps us to be positioned to deliver the most comprehensive enterprise-grade Kubernetes based portfolio for modern applications. And finally we're looking forward to updating you on our progress on the next call and we wish all of you a very happy Thanksgiving. Enjoy the time with your family and friends. Thank you.
Operator: And once again ladies and gentlemen that does conclude today's conference. Thank you for your participation. You may now disconnect.